Operator: Good afternoon, and welcome to Gaia's First Quarter 2024 Earnings Conference Call. [Operator Instructions] Joining us today from Gaia are Jirka Rysavy, Executive Chairman; James Colquhoun, CEO; and Ned Preston, CFO. [Operator Instructions] Before we begin, Gaia's management team would like to remind everyone that management's prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions, including, but not limited to, statements of expectations, future events or future financial performance. 
 These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Although we believe these expectations are reasonable, Gaia's management undertakes no obligation to revise any statements to reflect changes that occur after this call. Actual events or results could differ materially. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Gaia's latest annual report on Form 10-K filed with SEC. 
 All non-GAAP financial measures referenced in today's call are reconciled in the company's earnings press release to the most directly comparable GAAP measure. This call also contains time-sensitive information that is accurate only as of the time and date of this broadcast, May 6, 2024. Finally, I would like to remind everyone that this conference call is being webcast and a recording will be made available for replay on Gaia's Investor Relations website at ir.gaia.com. 
 I will now turn the call over to Gaia's Executive Chairman, Jirka Rysavy. Please go ahead. 
Jirka Rysavy: Good afternoon, everyone. We continue to build on our increasing momentum, and our revenue for first quarter grew 11% to $21.7 million, which is a good step towards our increasing revenue growth target for the year. The member count during the first quarter grew to 839,000 from 766,000, adding sequentially an additional 33,000 net members, which is one of the highest net member growth for the quarter. 
 The annualized gross profit per employee in the first quarter grew to $680,000 from $610,000 in the first quarter of last year. Free cash flow improved $1.6 million to $1 million from the loss of $0.6 million in first quarter '23. And this is on top of $8.4 million improvement we delivered last year. And James will now speak more about advances of business. Go ahead. 
James Colquhoun: Thank you, Jirka, and good afternoon, everyone. We have continued our trend of executing on cash flow positive growth with improvements in marketing efficiency. At Gaia, we believe in the power of education and transformational media to change the world. And to do that, we provide specialized content to a growing yet underserved member base. Our content covers a collection of niches we defined as conscious media with categories ranging from Transformation spiritual growth, ancient history and metaphysis, to Yoga and meditation and healing and alternative therapies, helping guide our members on their conscious life journey. 
 In March, we held our premier transformation event Immersion live at our headquarters in Boulder, Colorado to a sold-out in-person audience. During the 2-day event, we achieved 52,000 unique live stream attendees, the highest number in the history of the company. Additionally, we announced the rebrand of our premium membership tier from Events+ to Gaia+ and achieved the highest 1 month increase in new sign-ups since the launch of our premium tier in October 2019.  This represents a move towards deepening our connection with our member base, offering a richer transformative experience with immersive workshops and events available live and on-demand and solidifying our focus on supporting the conscious life cycle of our members, while driving incremental increases in ARPU on an annualized basis. 
 This focus on our premiums here and our direct-to-paid annual membership marketing campaigns resulted in a $2 million increase in deferred revenue compared to Q4 of 2023. During the first quarter, we also continued the implementation of our rollout of AI inside the Gaia product experience, launching an AI-powered recommendation engine. This engine is trained on our exclusive categorical metadata and transcripts, and this recommendation engine helps our members find content specific to their own content journey based on their viewing history and habits. 
 Looking forward, our focus continues to be on driving cash flow positive growth, leveraging AI to help improve the product experience for our members and solidifying our brand as the key player in the conscious media and transformational space, while still delivering increases in ARPU as we focus further on the rollout and scaling of our premium tier and Marketplace initiatives. I'll now pass it over to Ned to share more on the financials. 
Ned Preston: Thank you, James. Turning now to our financial results for the first quarter ended March 31, 2024. Revenues for the first quarter grew $2.1 million or 11% to $21.7 million from $19.6 million in the prior year ago period. This also marked our third sequential period of year-over-year top line growth. Member count increased 10% to 839,000 as of March 31, 2024, up from 806,000 members as of December 31, 2023. The sequential growth represented more than 2x what we saw in Q4 of 2023. 
 Gross profit in the first quarter increased to $18.5 million, up from $16.9 million in the year ago quarter. Net loss improved to negative $1 million or negative $0.05 per share from $1.3 million or negative $0.06 per share in the year ago quarter. Operating cash flows for the first quarter were at $5.9 million, which was a $5.2 million improvement from the year ago quarter and comes on the heels of closing 2023 with a full year increase of $4.2 million.
 Free cash flow improved to $1 million from a loss of $0.6 million in the year ago period, representing a $1.6 million improvement and comes after the company generated $8.4 million in full year free cash flow improvement during 2023, which represents a $10 million improvement over the past 5 quarters. The first quarter of 2024 was our fourth consecutive quarter of positive free cash flow. 
 As of March 31, 2024, our cash balance was $8.6 million with an unused $10 million line of credit. We recently announced pricing updates for new members in our euro and great British pound markets. By the end of our second quarter, we plan to implement similar pricing adjustments for new members in our remaining markets. 
 That completes my summary. I'd now like to turn the call back over to Jirka for his closing comments. 
Jirka Rysavy: Yes. So for the summer, we kind of expect increasing annual revenue growth, this continued growth of ARPU, increasing gross profit per employee and obviously continued generation of positive free cash flow.  
 And this is for our remarks -- prepared remarks. So I'd like to open the call for the questions. Operator, please. 
Operator: [Operator Instructions] Our first question comes from Mark Argento with Lake Street. 
Mark Argento: I just wanted to dig in a little bit on the pricing. It looks like you took pricing or started taking pricing. Could you talk about a little more specifically kind of what type of pricing are you taking from price point or percentage perspective? And then how quickly -- what percentage of the overall installed base of subscribers would be impacted and in what markets? 
James Colquhoun: Mark, it's James here. Thanks for your question. So essentially, with euro and GBP, we've increased about circa 20% on our monthly and annual subscription rate. Generally speaking, the industry has increased 30% to 40% over the last 2 to 3 years, and we have not had a price increase for some time now. So we're one of the last to increase, and we started with that market. By the end of this current quarter, we'll be increasing prices across the remaining currencies that we offer to a similar amount. 
 But for our direct members, this will only be for new members. So we typically grandfather our existing members on existing prices, and that helps us with retaining that member base because if they leave and come back, they would get the new price. So that's our strategy so far, and that will help us to continue to drive increases in ARPU as we progress throughout the year. 
Mark Argento: That's helpful. And then maybe could you talk a little bit more about what percentage are you typically signing up for a year in advance versus month-to-month? 
James Colquhoun: So beginning at the end of last year, we ran some test marketing campaigns where we were incentivizing the annual membership option. Typically, on a normal everyday basis, we would convert about 60-40, 60% annual, 40% monthly. However, we've seen campaigns -- sorry, I made a mistake, they are 60% monthly, 40% annual. However, we've seen campaigns where we see 70%, 80% and even 90% on smaller paid campaigns where people are converting directly to annual. 
 And so as we lean more into these direct-to-pay campaigns, with some sort of bonus or incentivization on the annual membership, it is encouraging more people to sign up and lock that annual membership in advance. And this is why we've seen the $2 million increase in the deferred revenue line in Q1 in comparison to Q4 because more of the member base has taken that option on the direct side. 
Operator: Our next question comes from Thierry Wuilloud with Water Tower Research. 
Thierry Wuilloud: Yes. First question would be on  the premium service on Gaia+. You mentioned the largest increase on a monthly basis since you rebranded. Is it just the branding? Or are there specific other steps you took to achieve that? 
James Colquhoun: Thierry, James here again. I feel like this hasn't been something that we have just put a renewed focus on. We used this Immersion Conference event as an opportunity to explain the rebranding. And we repositioned the product a little bit from a marketing perspective. And during the month of March, like I mentioned, we saw the biggest increase for a month since we launched, and we grew about 15% on the membership based on that premium tier in that month alone.  
 So we're happy with the results, and this is a part of a refocus on this premium tier as we grow throughout the year. And I think it's an enormous value add for our members and opportunity to grow ARPU. 
Thierry Wuilloud: Okay. Does it mean you're going to have more such events on an ongoing basis? Or are you still looking at 3 or 4 years? 
James Colquhoun: This year, we will be, I would say, closer to $6 to $8 million in total, which is an increase slightly from the previous year. And we'll continue to test into that and scale it out as we learn more about growing that membership base. To be honest, a lot of the viewership on the content does come on demand. So people watch it after it's produced. So whether we hold more or not, I think the marketing is still important for us to lean into. 
 We have an incredible legacy amount of content in that premium tier as it is already. 
Thierry Wuilloud: Okay. And then maybe just 1 follow-up on the marketing. You mentioned lower cost of marketing. Is it -- is it just that the media rates have come down? Or is it that you're able to target better your marketing efforts? 
James Colquhoun: I think that the targeting is something we've improved upon, also improving our marketing process and testing into new campaigns into new market segments has to -- helped to improve efficiency. And we started this at the middle Q3 of last year, and we were starting to get some more runway on the lessons and the learnings from that testing in Q4, and we went from 8,000 net adds to 16,000 net adds and now more than double that in Q1. So I feel like it's just a combination of learning more and leaning into the campaigns that are performing the best. 
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr.  Rysavy for his closing remarks. 
Jirka Rysavy: Thank you, everyone, for joining, and we look forward to speaking with you when we report our second quarter, which should be in early August. Thank you very much. 
Operator: Thank you for joining us today for Gaia's First Quarter 2024 Earnings Conference Call. You may now disconnect.